Executives: Alejandro Giraldo - Investor Relations Officer Javier Genaro Gutierrez Pemberthy - Chief Executive Officer and President Alberto Vargas Enrique Velasquez Convers - Exploration Vice-President Alvaro Castaneda Caro - Vice President of Transportation and Member of ECP Steering Committee Pedro Alfonso Rosales Navarro - Executive Vice President of Downstream and First Alternate President Adriana Marcela Echeverri Gutiérrez - Chief Financial Officer, Vice President of Finance and Member of Reserves Committee
Analysts: Frank J. McGann - BofA Merrill Lynch, Research Division Nathan Piper - RBC Capital Markets, LLC, Research Division Vicente Falanga Neto - Santander, Equity Research Gustavo Gattass - BTG Pactual S.A., Research Division Anish Kapadia - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division Daniel Sensel Matthew Portillo - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division Juan David Piñeros - InterBolsa S.A., Sociedad Comisionista de Bolsa, Research Division
Operator: Good day, ladies and gentlemen, and welcome to the Q2 2012 Ecopetrol SA Earnings Conference Call. My name is Claire. I'll be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to your host for today, Mr. Alejandro Giraldo. Please proceed, sir.
Alejandro Giraldo: Good afternoon, everyone, and welcome to Ecopetrol's second quarter of 2012 financial and operational results conference call. Before we begin, it is important to mention that the comments by Ecopetrol's senior management could include projections of the company's future performance. These projections do not constitute any commitment as to future results nor they take into account risks or uncertainties that could develop. As a result, Ecopetrol assumes no responsibility in the event that future results are different from the projections on the conference call. The call will be led by Mr. Javier Gutiérrez, CEO of Ecopetrol. Also participating will be [indiscernible], acting Chief Financial Officer; Hector Manosalva, Executive VP for Exploration and Production; Pedro Rosales, Executive VP for Downstream; Alvaro Castañeda, VP of Transportation and Logistics; Enrique Velasquez, VP of Exploration; Camilo Marulanda, VP of Growth and Strategy; and Alberto Vargas, Financial Comptroller of Ecopetrol. I will now turn the call to Mr. Gutierrez.
Javier Genaro Gutierrez Pemberthy: Thank you, Alejandro. Good afternoon. Thank you all for participating in this conference call. Initially, we will present the highlights of the second quarter, followed by summary of our key financial results, the main figures of the business segments and the milestones of internal consolidation. Then, we will review the outlook for the third quarter of 2012, and finally, we will close our presentation with a Q&A session. So let's start with Slide 5 to review our milestones in the second quarter. Though Ecopetrol faced challenging events and difficult international economic conditions in the second quarter of 2012, it continued its progress in its growth strategies, increasing its production and achieving strong financial results. The corporate group reached, in the second quarter, a production of 762,000 barrels of oil equivalent per day mainly due to the increase in production of Chichimene, Piedemonte, Gibraltar and Casabe fields versus the second quarter of 2011. Total sales volume of Ecopetrol grew 9% compared with the second quarter of 2011 as a result of the rise in the exports of crude oil and natural gas. Now export sales prices decreased in line with the decline in the international prices. However, our strategy of diversifying benchmarks and destinations for our crudes supported our margins. With regards to exploration, Ecopetrol America Inc. and its partners submitted the most competitive bids for 6 new blocks in the Lease Sale 222. Additionally, we continue advancing in our modernization projects of our refineries and the expansion of our transportation infrastructure. The higher production offset the lower oil prices during the second quarter of 2012. Thus, Ecopetrol reported a 7% growth in revenues and a 9% increase in net income, while EBITDA rose 3%. Finally, 2 milestones for the midstream were accomplished in the second quarter of 2012. First, the incorporation of CENIT, our new subsidiary who will supply the transportation and logistical needs of the oil industry in Colombia. And second, the financial closing of the Phase 1 of the Bicentenario pipeline with a syndicated loan amounting to COP 2.1 trillion. And now, I will turn the presentation to Alberto Vargas, who will comment on the financial results.
Alberto Vargas: Thank you, Mr. Gutierrez. Good afternoon, everyone. Let's turn to Slide 7. Financial results in the second quarter of 2012 were affected by the decrease in the oil prices. Notwithstanding, Ecopetrol managed to improve its financial results in comparison to the second quarter of 2011 mainly due to increase in production. Starting on the left side of the slide, you can see how in the second quarter product sales rose compared to the same quarter in 2011, driven by higher exports. Total cost of sales plus operating expenses grew 6% mainly due to the increase of 11% in fixed cost as a result of higher maintenance activities, contracted services related to larger production and higher labor costs. Also, the variable cost increased mainly due to: first, larger import and higher prices of naphtha to be used as diluent and low sulfur diesel to supply the local market; and second, higher transportation costs as a consequence of greater volumes exported. It is worth mentioning that those transportation fees for exporting previously recorded as a commercial expense are now accrued as variable cost. The operational expenses grew mainly as a result of agreements with the police force to protect our operations. Consequently, operating income amounted to COP 6 trillion in the second quarter of 2012, equivalent to an operating margin of 41%. In the nonoperating results, the loss of COP 0.5 trillion was mainly due to the impact of provisions made as a result of the lower returns of the fund which covers the pension liabilities. Net loss from the group's subsidiaries under the equity method in the second quarter of 2012 amounted to COP 33 billion as follows: refining on petrochemical subsidiaries accounted for a loss of COP 159 billion; upstream subsidiaries added an income of COP 64 billion; transportation subsidiaries, COP 32 billion; and corporate subsidiaries, COP 30 billion. Finally, net income amounted to COP 3.7 trillion in the second quarter of 2012, which is 9% higher than in the same quarter of 2011. EBITDA grew 3%, amounting to COP 7.1 trillion. EBITDA margin was 48%. On the next slide, number 8, we find another view of the company's cash flow and balance sheet as of the end of June. The initial cash balance was COP 17.4 trillion, and cash generation from operations during the second quarter of 2012 amounted to circa COP 15 trillion. COP 16.3 trillion of the company's total cash flow were deployed to fund operations during the quarter, COP 4.9 trillion for the payment of dividends and COP 2.2 trillion for capital expenditures. The ending balance of cash and investment was COP 9.3 trillion. Regarding the balance sheet, total assets amounted to COP 86.7 trillion and total liabilities, COP 36.2 trillion. The liabilities decreased due to the payment of dividends in April and the first installment of equity tax and surcharge. Financial debt was equivalent to 15.7% of total liabilities, while debt-to-EBITDA ratio for the last 12 months was 0.19%. During the quarter, there was no additional indebtedness. Finally, the equity increased mainly as a result of the net income reported in the second quarter of 2012. Now let's turn to the main aspects of the results of the corporate group shown on Slide 9. In the second quarter of 2012, the corporate group reached solid financial results. Total sales for the corporate group amounted to COP 16.5 trillion compared with COP 16.3 trillion in the same quarter of 2011. Group's net income amounted to COP 3.7 trillion, and EBITDA was COP 7.5 trillion, while EBITDA margin was 45%. Now let's move on to Slide 10 and review the main figure of our subsidiaries. In the second quarter of the year, the highest revenue before accounting eliminations came from Reficar, with COP 2 trillion, Hocol with COP 921 billion and Equion with COP 511 billion. Highest net income came from Equion with COP 182 billion, followed by Hocol with COP 76 billion and Ocensa with COP 43 billion. Subsidiaries with the highest EBITDA in the second quarter were Equion, with COP 170 billion; Hocol, with COP 150 billion; and Ocensa, with COP 147 billion. Now I'll turn the conference to Enrique Velasquez, who will comment about the main results of our E&P segment.
Enrique Velasquez Convers: Please, let's move on to Slide 12, which summarizes the highlights of the E&P segment. Let's start with our operation results. In second quarter, the corporate group achieved a gross production of 762,000 barrels of oil equivalent per day, a 5% increase compared with the same quarter of the year 2011 and 3% higher than in the first quarter of the year. Production was affected due mainly to restrictions on the availability of transportation infrastructure. The growth in production between the second quarters of 2011 and 2012 was led mainly by the increase of 16,000 barrels per day in Chichimene, 6,500 barrels equivalent in Piedemonte field, 4,000 barrels equivalent in Gibraltar and 4,000 barrels equivalent per day in Casabe. Regarding exploration in second quarter of 2012, Ecopetrol completed the exploratory well, Caronte, which results remain under evaluation, and [indiscernible] of which Akacias EST-1 show hydrocarbon presence and 4 were dry. Hocol drilled 1 exploratory well, Felido, which was dry, and 5 stratigraphic wells. As with the Caribbean offshore activity, so far, weather conditions have not allowed to start drilling Mapalé 1 well. This well has been rescheduled for the third quarter of the year. Internationally, the drilling of exploratory well, Fauno, in the U.S. Gulf Coast began in June. Also in the second quarter, Savia drilled the Colan-1 well, which results have been evaluated. Additionally, in June, Ecopetrol America Inc. together with its partner, Repsol USA Inc., Murphy, Apache Corporation and Samson Offshore submitted the most competitive bids for 6 blocks in the Gulf of Mexico during the Lease Sale 222. The Bureau of Ocean Energy Management will award the work in the coming months. Our 2012 drilling plans remain unchanged, that is to drill a total of 42 exploratory wells, 37 of them in Colombia, 3 in the U.S. Gulf Coast and 2 in Brazil. Finally, let's review the financial results of the upstream segment. Net income of the segment in second quarter was COP 3.8 trillion. Overall results were driven by the higher production. EBITDA amounted to COP 6.5 trillion, equivalent to an EBITDA margin of 69%. Now I will turn the call over to Mr. Gutierrez, who will comment on the incorporation of CENIT.
Javier Genaro Gutierrez Pemberthy: Please turn to Slide 13. One of the milestones of the quarter in the midstream strategy was the incorporation of CENIT, a wholly-owned subsidiary company specialized in hydrocarbon transport and logistics in Colombia. This new company will supply the strategic transportation and logistical needs of Colombian's oil industry resulting from the increase in hydrocarbon production and higher sales of crude and refined products both in Colombia and international markets. The new hydrocarbon transportation scheme generates important advantages for Ecopetrol by allowing the company to have a strategic focus on its business, allocate higher investment to other key segments and ensure the profitability of the transportation activities. CENIT also will guarantee Ecopetrol the capacity for transportation and handling of its hydrocarbons. The new subsidiary will receive all of Ecopetrol's transportation assets, including the interest held in Ocensa, Los Llanos pipeline, Bicentenario pipeline and the Colombia pipeline. As a result of this process, CENIT will be responsible for marketing, planning and development of the transportation system, formulating new business opportunities. Ecopetrol remains as the operator of the system, responsible for preventive and corrective maintenance, loss control, contingency plans and project execution. With this, I will turn the call over to Alvaro Castañeda, who will provide an update of the results of the midstream segment.
Alvaro Castaneda Caro: Thank you, Mr. Gutierrez. Let's review the results of the segment in the second quarter of 2012. Net income amounted to COP 99 billion. [indiscernible] Transported volumes of crude oil decreased in the second quarter. Revenues went up as a result of higher transportation fees in the year and higher volumes of products transported. Cost on maintenance, projects and depreciation increased due to higher activity. Also, net income was also [ph] due to the accrual of equity tax in the second quarter of 2012. EBITDA amounted to COP 219 billion. Regarding our main target, the Phase I of Bicentenario pipeline between Araguaney and Banadia reached 55% progress as of June 30. About the contingency program, during the quarter, important progress was achieved as the plans worldwide communicated to communities and local entities, as well as the international benchmarking of the emergency action plan. Finally, on integrity program, we can highlight progress in strategic [ph] monitoring, risk analysis of pipelines and loss mitigation initiatives. With this, I will turn the presentation over to Pedro Rosales, who will comment on downstream results, starting with Refining.
Pedro Alfonso Rosales Navarro: Good afternoon, everyone. Let's move on to Slide 14. In terms of our operation, the refinery throughputs in Barrancabermeja decreased in the second quarter of 2012 compared with the same quarter of 2011 mainly due to the scheduled maintenance of one crude unit in April. In Cartagena, the refinery throughputs were already used due to less availability of Caño Limón crude oil caused by lower deliveries of the pipeline. In spite of the lower throughput, gross margin in Barrancabermeja increased in the second quarter of 2012 compared to the same quarter of 2011 due to higher use of medium distillates and a better valuation of products, especially fuel oil. Otherwise, gross margin of Cartagena refinery fell due to the reduction in gasoline output as a result of the maintenance of the cracking unit and the lack of Caño Limón crude causing a production increase of fuel oil and naphtha instead of diesel. Given the improved output of valuable products and better realization prices in Barrancabermeja, financial operation results of Refining and Petrochemical segment improved in the second quarter of 2012 compared to the second quarter of 2011, reaching an EBITDA of COP 252 billion. However, the segment reported a negative nonoperational result due to the loss reported by Reficar and the impact of the exchange rate. Then, net result was minus COP 202 billion. Regarding the 9 refining projects in the first half of 2012, the expansion and modernization of the Cartagena refinery reported 68% progress, and the upgrading of the Barrancabermeja refinery, 11% advance. Finally, the master plan of utilities in Barrancabermeja reported 46% progress as of June 30. Now, please turn onto Slide 15 to review the sales and marketing results. Total sales volume grew 9% between the second quarters of 2011 and 2012 due to the rise of crude oil exports. Exports growth was driven by higher availability of Magdalena Blend and Vasconia crudes. During the second quarter, we continued with the strategies of diversifying markets and referencing our crudes to benchmarks that generate more value to exports. Regarding the destination of our exports in the second quarter of 2012, there was an increase in the sale of our crudes to the U.S. Gulf Coast and Europe, as well as higher volume of products delivered to Far East and the Caribbean. Finally, the Sales and Marketing segment presented in the second quarter of 2012, a drop in revenues due to the lower sales prices. In spite of this, net income was COP 5 billion compared to a net loss of COP 37 billion in the second quarter of 2011. This loss in 2011 was due to a higher peso valuation and the result of the hedging operations. I now will turn the presentation back to Mr. Gutierrez, who will comment on the milestones of the internal consolidation initiatives and the corporate social responsibility in the second quarter of this year.
Javier Genaro Gutierrez Pemberthy: Thank you, Pedro. Let's start by our results in HSE. The accumulated accident frequency rate in the first half of 2012 was 0.97 accidents per million working hours compared with 1.14 in the first half of 2011. Those encouraging results strengthen our commitment of a safe and reliable operation. Regarding science and technology, our research institute was granted with 2 new patents in Colombia in the second quarter of 2012. Additionally, economic benefits amounted to $141 million as a result of the implementation of technical solutions developed by our research institute, together with different teams along the company. Finally, a start of the commitments with communities, Ecopetrol invested in the first half of 2012 COP 46 billion in corporate social responsibility initiatives focused on education and culture, citizenship and democracy and local competitiveness. Finally, let's review the outlook for the third quarter of 2012. Please move on to Slide 19. Ecopetrol will continue on its path to achieve all of our strategic goals for 2012. Regarding Exploration, Echion, our subsidiary, will start drilling the Mapalé 1 well in the Colombia Caribbean offshore. In production, we are forecasting the production of the corporate group to average around 780,000 barrels of oil equivalent per day in 2012. In Transportation, we will continue achieving progress in our infrastructure projects and strengthen the initiatives aimed to improve the integrity of the transportation systems and the contingency plans. Regarding the Bicentenario pipeline, Ecopetrol and its partners expect to start line field at the end of this year. We will also continue consolidating our new subsidiary, CENIT, to assure the beginning of its operation in 2013. In Refining, we will continue with the progress in the modernization of both Cartagena and Barrancabermeja refineries. Also, thanks to the scheduled maintenance made in the first half of this year, we will be able to assure the operational reliability and the throughput of the refineries. We also shall continue all efforts to maintain the improving of our HSE performance, as well as the safety and reliability of our operations. Regarding our commercial strategy, we will continue searching for market opportunities in order to reach the best realization prices for the increasing amount of crude oil exports. Now I open the session to questions from our participants.
Alejandro Giraldo: [Operator Instructions] So, Claire, we will now take questions.
Operator: [Operator Instructions] Your first question comes from the line of Frank McGann.
Frank J. McGann - BofA Merrill Lynch, Research Division: Just a couple of things, if I could. One is in terms of transportation costs, I was just wondering in Colombian pesos or in dollars, in millions or billions, however you prefer just to give it, is the total cost that you identified that were related to the security issues in the quarter and whether you see those as continuing at that level or at a higher level, perhaps, in the future. Second, from a production standpoint, maybe you could quantify the effects of the pipeline interruptions in terms of how much that affected the quarter and just have a little bit better idea on how much effect that had. And then thirdly, in terms of production growth from here, what are the key fields that will be driving the growth in the third and fourth quarter that will help you get to your production target for the full year?
Operator: Your next question comes from the line of Nathan Piper.
Nathan Piper - RBC Capital Markets, LLC, Research Division: And I guess the key question for me is the approval process in Colombia, and clearly, some of your fields have not progressed in terms of production increases due to not getting the water handling facilities, and that's, from what I understand, is getting the approvals in place. And so I would be interested in your comments on how the approval process are working currently, what influence you could have on increasing or making the process move more smoothly. And then lastly, despite cutting your 2012 production to 780,000 barrels a day from 800,000, this still appears to me to be quite an aspirational target. How confident are you of that number? And really, should we be thinking about production range that you hope to get to where this is, perhaps, the top end? But the key thing for me is how is the approval process working in Colombia.
Alejandro Giraldo: Okay, Nathan, just to clarify the questions, the first one is on the approval process and environmental licenses for the field? [Technical Difficulty]
Alejandro Giraldo: Nathan?
Javier Genaro Gutierrez Pemberthy: Nathan, please? Nathan?
Operator: [Operator Instructions]
Alejandro Giraldo: Okay. We'll take the next question then from the next participant.
Operator: Your next question comes from the line of Christian Audi.
Vicente Falanga Neto - Santander, Equity Research: Actually, this is Vicente from Santander also. I have a few questions. First of all, you said that your target for Ecopetrol with subsidiaries is 780,000 barrels. What about for Ecopetrol S.A. only? Do you have that number? Also, regarding the startup of the Bicentenario pipeline, you said that you expect that for the end of 2012. Do you guys have specifically what month? Are we talking about December? And one last question. I thought I heard in the Spanish call that you said that the environmental issues that you had during this quarter, they hurt your production in about 8,500 barrels per day? Is that it?
Alejandro Giraldo: Okay. So we'll now start with the questions from [indiscernible] answered by Enrique Velasquez. We will start with your first question.
Enrique Velasquez Convers: This is Enrique Velasquez. Frank, regarding your second question, what is the main effect for the interruptions in the pipeline. We quantified the amount in 10,700 barrels per day. Okay?
Javier Genaro Gutierrez Pemberthy: That's for the semester?
Enrique Velasquez Convers: Your second -- your third question...
Javier Genaro Gutierrez Pemberthy: I think it's important to mention, maybe you remember, during the first quarter, it was 17,000, 1-7. And during the second quarter, it has been around 6,000. In average, we have right now 10,700. Yes, that is important to mention.
Enrique Velasquez Convers: Okay. With this clarification, Frank, your third question regarding which fields or -- in which fields we will put a lot of effort in order to fulfill the growth. Let me tell you that actually the fields are Castilla, in which we are working in facilities; then Chichimene, also working in facilities. We are waiting for the approval of the environmental license in the Rubiales and Quifa fields, to get the commerciality in the Caño Sur, to drill more infill wells in Casabe and finally, to get commerciality from the Akacias discovery. Okay. Nathan, regarding your question how the approval process of the environmental license is affecting our current production, yes, there are some delays obtaining the environmental license. We're scheduled from these delays. So we are, in the forecast, in the timeline, those issues are already accounted for. Okay? Okay. Nathan, your question regarding how confident we are regarding to get this 780,000, it was the answer that I just gave to Frank McGann, in which fields we put a lot of work in order to get that number. And a question for Vicente, okay, Vicente what is the target for Ecopetrol itself? Let me tell you, the target is 730,000 barrels equivalent of oil per day.
Alejandro Giraldo: With this, we have covered the questions on E&P. Now we'll move in the Transportation to answer the questions on ODC and transportation costs. It's Pedro Rosales who will answer the question.
Pedro Alfonso Rosales Navarro: Okay. About the transportation cost, our costs are in Colombian pesos. The costs associated to security are under the budget that we planned in our plants. And then we don't expect an increase in that cost in this year. About the schedule of Bicentenario pipeline, our recent update of the project, maintain the target to begin the line fill of the pipeline by the end of this year if our plans for construction are developed as we expect with the support of the army [ph].
Javier Genaro Gutierrez Pemberthy: And when we refer to the end of the year, we're telling the end of December.
Pedro Alfonso Rosales Navarro: Yes, the end of December of 2012. Yes, yes.
Alejandro Giraldo: Okay. So now we'll take questions from the next 3 participants.
Operator: [Operator Instructions] The first question comes from the line of Gustavo Gattass.
Gustavo Gattass - BTG Pactual S.A., Research Division: I had 2 questions here. The first one has to do with the cash costs that you had in the quarter for the E&P unit, okay. So this is Ecopetrol S.A. E&P. And if we just divide the costs number by the number of barrels that you had this far, something like a $4.50 increase in costs in the quarter in spite of having a higher production number. I just wanted to understand if there was something extraordinary on those costs or if there was something extraordinarily low in the first quarter costs for comparison purposes. So that's the first question. The second question, just with regards to the production side of things. I don't know if it would be possible for Enrique [ph] to just touch on the important milestones that are necessary and when do you think they play out for those fields that were mentioned as contributing for the growth, especially the facilities at Casabe and Chichimene, which as I understand might be the biggest part of the contribution here. Okay. Those are my 2 questions.
Alejandro Giraldo: Okay. So now we'll take a question from the next participant.
Operator: Your next question comes from the line of Fernando Valle [ph].
Unknown Analyst: Just 2 quick questions. The first one is on the CapEx. I think you said on the Spanish call that your CapEx is as you've planned. But actually that's actually around 25% to 30% below your expectations for the year. I just wanted to understand if that's by design, or if there's any impacts from the later environmental licenses, et cetera, and what we can expect for the end of the year? The second question is on the Transportation side. I just wanted to understand, you talk -- you said you have a 10,100 barrels per day impact on production. What's the timing on getting that back online? And what are the costs associated with bringing that back? That's it.
Alejandro Giraldo: Okay. Fernando.
Javier Genaro Gutierrez Pemberthy: Fernando, can you repeat the second question, please?
Alejandro Giraldo: Okay. The second -- okay. We'll go ahead with a question from the next participant and then come back to clarify Fernando's question.
Operator: Your next question comes from the line of Anish Kapadia.
Anish Kapadia - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: I've got 3 questions please. Firstly, given your lower production for 2012 and also high-impact exploration wells coming in dry on CPE-2 and CPE-8, are you considering as yet bringing down your 2015 production guidance? The second question is on Akacias. When do you expect to test the second and third well? And how confident are you in the 90,000 barrels per day production number that you provided at the Analyst Day? And my final question is, can you give what the gross production was on Castilla, Chichimene, Rubiales and Quifa, please?
Alejandro Giraldo: Okay. We will start with the answers for the questions on E&P answered by Enrique Velasquez.
Enrique Velasquez Convers: Gustavo, your question regarding the important milestones in order to get the goal, the growth goal, let me tell you. We are working in the facilities for Akacias, and we expect by middle August to get that facilities in place. Okay? Second important milestone is to start the installation of the STIP [ph] station. Also, in order to get that field, Castilla, to get the -- we expect that to produce 16,000 barrels additional. Also, we are working in a portable facility approximately 10,000 barrels in Chichimene. We expect to compete by middle August. Another milestone is to get the environmental license for Rubiales, which is 400,000 barrels maybe between August and October. And finally, also to get the environmental license in order to handle 1 million barrels in Rubiales where in order to get like 20 wells, we expect to get it by November of this year. Okay? So those are the most important milestones to assure the growth in these fields. It's for Gustavo. The question -- the answer for Anish, okay, Anish. Anish, let me clarify something. You mentioned that according to the results of the CPE-2 and CPE-4, what do [ph] we think in order to reach the goal in 2020. So let me tell you. Those wells are strat test. That means those wells are in order to get some knowledge and information in the area. So those wells are really not counted for this goal. So in summary, we still feel pretty comfortable and confident to get the goal in 2020. Okay? Second question is regarding when we test the Akacias-2 and 3. Those wells are ready in the Ministry of Mines waiting for approval to be tested. As you are aware, we got the environmental license. So let's say, I don't know, in a few weeks, we [indiscernible]. Okay. And regarding the production for second quarter of Castilla, we produced 115,500. And in Rubiales plus Quifa, we produced 120,000 barrels per day. And basically, the question [indiscernible].
Alejandro Giraldo: [indiscernible] the questions on E&P, now we'll move to Transportation and effect on the 10,000 barrels and when we will be on track in terms of Transportation [indiscernible].
Pedro Alfonso Rosales Navarro: In terms of the Transportation, the effect is due to the interruption of the production during the period we take to recover the infrastructure. But once again, the infrastructure we recuperate it. We should return to the current levels of production. This is -- that way, is a transitory effect and as we informed in the first quarter, this is mainly due to the time during which the pipeline was out of service in January and in part of February. But it was the 2 main periods in which we were affected because basically during the second quarter, we didn't have a tax neither May, neither April and we haven't had a tax recently. But we haven't had really an important effect of the tax to this pipeline. But mainly, we are greatly affected only in some capacity. It's not enough to reserve the production during the time we take to recuperate the infrastructure. But as soon as we recuperate, we will talk to the government [ph] in production. But additionally, it's very important to take into account that we have stopped capacity to control the production to internal[ph] date to recuperate the infrastructure.
Alejandro Giraldo: Okay. Now I'm going to take questions on financials, on the cash costs, investment in E&P and also the question on the lower CapEx execution for exploration and its possible effects on environmental license. Alberto will take the call -- the question on financials.
Alberto Vargas: This is for Gustavo. Your question in terms of cut cost. Yes, in the second quarter, we had some reasons that increased the cut cost per barrel. Those reasons being mainly that we have to buy -- to increase our importations of naphtha to be used as diluting for our crude. Also, we've got higher maintenance costs to attend our securities in the -- in some of our pipelines, plus we increased our cost coming from crude [ph] in which we are non-operators. Okay. Now for Fernando, on your question on CapEx decrease. Main reason being a delay on our exploration campaign in the Caño Sur field.
Alejandro Giraldo: Okay. Now we'll take questions from the next 3 participants.
Operator: [Operator Instructions] Your next question comes from the line of Daniel Sensel.
Daniel Sensel: I just have a quick question regarding debt. I see that total debt went up by around $400 million. Can you tell us if you got any new facilities? And what were the terms of those?
Javier Genaro Gutierrez Pemberthy: Excuse me, can you repeat the question?
Operator: [Operator Instructions]
Daniel Sensel: Yes, my question is that I see that gross debt went up by $400 million. If you can provide some details about the terms of the new facilities that you received?
Alejandro Giraldo: Okay. Daniel, we understood your question. Now we'll move to the next participant and come back to you with the answer.
Operator: Your next question comes from the line of Matt Portillo.
Matthew Portillo - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Just 3 quick questions for me. The first one has to deal with the gas production. Could you talk a little bit about what has led to an increase in gas demand in country and how sustainable you think your production numbers are for the second -- from the second quarter going forward to the rest of the year? And then I just wanted to clarify on the Rubiales field from a production perspective. I think you said 120,000 barrels a day gross from Rubiales and Quifa combined. Looking back on last quarter, that looks like it's been relatively flat quarter-over-quarter. I just wanted to clarify that. And if you could give any other color around what permits you're waiting for specifically on for the water handling? And then finally, I think just wanted to see if you could give us the gross production numbers for the Chichimene field for the second quarter.
Operator: Your next question comes from the line of Juan Piñeros.
Juan David Piñeros - InterBolsa S.A., Sociedad Comisionista de Bolsa, Research Division: Just 2 questions for me. Can you provide more details about the results you had on Akacias stratigraphic 1 and how it compares to the results you had on the first exploratory well in this block? And which well the results of the Itauna-2 and why did you recalled -- record a loss of COP 115 billion in the capital of Brazil? Second question, are there going to be more maintenance or stoppages at the refineries this year? And third question is regarding the Bicentenario pipeline. It will be connected to the Caño Limón pipeline, and we have seen an increase in the frequency of the tax to this pipeline. So how this will affect future operations? How critical it would be an eventual disruption in the Bicentenario? How much would you rely on this Bicentenario in 2013?
Alejandro Giraldo: So we'll start answering the questions in E&P. Enrique Velasquez would take the first question.
Enrique Velasquez Convers: I got the first question. Yes. Okay. Juan, regarding your first question, actually you have 2 questions. The results of the Akacias strat 1, as you will know, it's an exploration well in which we have some hydrocarbon presence, and this is information that we can release. So when we test the wells will happen in a short period of time, we can deliver information. Second, your second question regarding Itauna-2, why Itauna-2 was accounted in the books. And what happened actually, Itauna-2 was built [ph] in order to prove the extension of the discovery of Itauna-1. This main target was find dry. But we find we have hydrocarbon presence in oil formations. So these information is being used in order to define the geological model and in that way, we can propose the Itauna-3 next year. Okay. This is for Martinez -- for Matt Portillo. For Matt, [indiscernible] from the question #2, #3 and then I go back to the #1. #2, you asked specifically what kind of permit we are waiting in order to continue to increase the production. You're right. The permit is [indiscernible]. And your question regarding Chichimene, Chichimene production, okay, the figure for Chichimene for the second quarter is 44,000 barrels of oil equivalent per day. And the final one, your first question regarding gas production, it has increase in gas demand of the country. If I'm wrong, let me tell you, the total gas production equivalent was in the second quarter for Ecopetrol was 112,000 barrels equivalent oil per day.
Pedro Alfonso Rosales Navarro: Okay. It's Pedro Rosales, about the gas production. What you say in the report is that in the semester, we are affected with a new decree that allows Soviet [ph] producer to sell the gas royalties, but a consequence of that Ecopetrol has a lower amount of natural gas to trade in the domestic market during the first semester of this year to [indiscernible] approximately 10,000 equivalent oil barrels per day, that is in the same period of 2011. However, this amount only represents 1% of the local sales income and doesn't have any material impact in our results.
Javier Genaro Gutierrez Pemberthy: And maybe additionally, it is important to mention that it basically corresponds to the royalties that we have been acquiring to the National Hydrocarbon Agency. And really, our role in that case is mainly like a trigger. But it's not really in terms of the size of our economic basis because in terms of our feasibility [ph] we have been attended if with our own production. And we are waiting right now. The production must continue increasing, mainly considering that in during the next month, we're going to have some additional production from the [indiscernible], new projects that may be going to be -- are going to be in operation in 2 months.
Pedro Alfonso Rosales Navarro: 2 months.
Javier Genaro Gutierrez Pemberthy: In 2 months. Okay. Right. And in terms of the demand in the country, the country has been register an increase of around 7% annually. But additionally, it's important considering that we are looking for increasing our exports. And additionally, recently the Minister has announced the new plans to connect a new carrier to the gas service in different parts of the country. In that sense, we consider -- we have a stable increase in terms of the gas demand in the country and the opportunities outside.
Pedro Alfonso Rosales Navarro: Okay. About the next question. If we expect to have stoppages in the refineries in the second half of the year, we only have 1 scheduled maintenance during the second semester in 1 of our cracking plants in Barrancabermeja, the [indiscernible] plant. But the output from this unit will be replaced by the production of other trucking units in the refinery, which will have higher fee, then we'll expect a real impact in our production of gasoline for this case. Then in general, we don't expect any impact from stoppages for plant turnarounds in our plants in the refinery. And finally, about the Bicentenario pipeline, what can we expect. As we talked before, our projection is that we will begin the line fill of the pipeline at the end of this year. Then we'll have any impact this year in our production or in our transportation numbers in the year. If there would be any impact, it can be in the next year when the pipeline will be in use. But at this time, we are working with the different authorities to provide the barrier protection to that infrastructure to avoid that we have impact in the operation in the future.
Alejandro Giraldo: Okay. And now we'll take the final question about financial. Adriana [indiscernible] the answer.
Adriana Marcela Echeverri Gutiérrez: Daniel, in regards to the increase of the consolidated debt of Ecopetrol, that amount is related to the disbursement that has been done under the Reficar transaction with the US EXIM Bank. As you know, we closed that facility on late 2011. But disbursement has been done throughout this year. It's the same that is going to happen in the Bicentenario pipeline as long as the disbursement are done throughout the remaining of this year. So you would see increases in that from now on.
Alejandro Giraldo: Okay. So unfortunately, we had run out of time. This is the last answer. If you have additional answers -- questions you can contact us at Investor Relations. Thank you all for participation, and we remind you that we will be hosting our Investor Day in New York and London in the month of September. Thank you very much.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Have a great day.